Operator: Good morning. This is Laura welcoming you to ING's Q1 2024 conference call. Before handing this conference call over to Steven Van Rijswijk, Chief Executive Officer of ING Group, let me first say that today's comments may include forward-looking statements such as statements regarding future developments in our business, expectations for our future financial performance and any statements not involving a historical fact. Actual results may differ materially from those projected in any forward-looking statements. A discussion of factors that may cause actual results to differ from those in [Technical Difficulty] and including our most recent annual report on Form 20-F filed with the United States Securities and Exchange Commission and our earnings press release as posted on our website today. Furthermore, nothing in today's comments constitutes an offer to sell or a solicitation of an offer to buy any securities. Good morning, Steven. Over to you. 
Steven van Rijswijk: Thank you very much. Good morning, and welcome to our results call for the first quarter of 2024. I hope you're all well. And as usual, I'm joined by our CRO, Ljiljana Cortan; and our CFO, Tanate Phutrakul. In today's presentation, I will inform you about the fundamental drivers of ING's excellent start of the year, both in terms of our commercial performance and our financials. Tanate will walk you through the financials of the quarter and the resilience of our net interest income also in a lower rate environment. At the end of the call, we will be happy to take your questions. Now let's move to Slide 2. As you can see on this slide, we achieved a very strong commercial performance in the first quarter with growth across the board in customers, lending and deposits. We added 99,000 primary customers comprising both new and existing customers who have chosen us as their primary bank and our primary customer base now amounts to over 15.4 million primary customers and we are well on track to reach our target of 17 million by the end of 2025. We've also been able to grow our lending book following a strong fourth quarter. Our mortgage book grew by EUR 2.4 billion this quarter. Most of this growth was visible in the Netherlands, where we further increased our market share and in Germany. In Wholesale Banking, we were also able to capture loan demand while we continued focusing on capital efficiency. On the deposit side, we had successful campaigns to raise new funds in Germany and Poland. And also in Italy, we were able to further grow our business as evidenced by the deposit inflow this quarter. Now this strong commercial growth contributed to an excellent start of the year, which we highlight on Slide 3 and can summarize in 4 main points. Number one, NII was strong. We have been able to keep our lending and liability margins relatively stable and benefit from the growth in volumes. When excluding the increased impact from accounting asymmetry, our NII rose compared to last quarter. Two, our focus on fees is clearly paying off. Income from fees has grown by double digits versus both comparable quarters. As mentioned during our fourth quarter '23 earnings call, we are benefiting from more customers choosing ING for their banking products and from increased package fees. Also, the new commission structure for independent brokers in Belgium is resulting in lower fees paid. The market dynamics have also become more favorable, leading to positive impact on fees from investment products and lending. As such, we remain confident in our ability to grow fees by 5% to 10% this year. Number three, operating costs, they were on track. Operating costs increased by 5%, which was mostly attributable to the impact of inflation on staff expenses and the implementation of the Danske Bank ruling on VAT. However, when taking the lower regulatory costs into account, total operating expenses were 1.4% lower than last year. And then we have number four, we maintain a high-quality loan book. In line with 2023, the high quality of our loan book continues to be reflected in lower risk costs, which came in at only 16 basis points this quarter. And this has all resulted in another quarter with very attractive returns. Our fourth quarter rolling return on equity was 14.8% and we have achieved this while operating on a high CET1 ratio of also 14.8%. Then we turn to Slide 4. As you can see on the top graph, we are in a very predictable rhythm of announcing distributions to our shareholders. And I'm pleased that we have announced another EUR 2.5 billion share buyback today, which is the next step in converging our CET1 ratio towards our target of around 12.5%. Including this buyback, we have returned almost EUR 26 billion to shareholders since 2018 and over EUR 5 billion in 2024 alone, also including the final cash dividend over 2023, which will be paid tomorrow. With a pro forma CET1 ratio of around 14.1% and continued capital generation, we have ample capacity to continue providing an attractive return. And we will update the market at the time of announcing our third quarter 2024 results. Before Tanate takes you through the financial results in more detail, I will spend some time on the progress we're making on the execution of our strategy and related targets. On Slide 5, our purpose and strategic priorities are shown. The first priority is to deliver a superior customer experience that is personal, easy, relevant and instant. And this is highly valued by our customers as evidenced by our Net Promoter Scores, where we are ranked #1 in 4 of our 10 retail banking markets. One example of how we offer this excellent experience is the launch of a feature in our banking app that allows customers to immediately check whether a caller who contacts them is actually an ING employee. This will protect both the customer and ING from fraud. In Romania, we expanded our instant lending proposition by introducing an instant overdraft product in addition to term loans. And in Wholesale Banking, the ING inside business portal now includes a portfolio insights tool that saves clients' time by giving them real-time insights into their lending portfolio. Our second strategic pillar is putting sustainability at the heart of what we do. And we continue to support our clients in their transition to a low-carbon economy. In the first quarter, we achieved a volume of sustainable finance mobilized of EUR 24.7 billion, an increase of 13% from the same period last year and we closed 156 sustainability transactions, 59% more than in the first quarter last year. In Retail Banking, we provide sustainable mortgages in several countries and we're also working to help connect customers with services to undertake our sustainable home renovations. For example, in Germany, where we started a pilot in the first quarter where customers can give advice -- can receive advice and connect to partners, specialized sustainable solutions such as heat pumps, solar panels, installation services and subsidy advice. And looking at sustainability and ESG more broadly across the bank, we released publications on human rights and nature that transparently outline our progress. On the next slide, I'll give you some insight and the key themes of our Capital Markets Day. As you know, we'll host a Capital Markets Day on the 17th of June. And obviously, I will not reveal too much now, but can give you a broad outline of what we intend to discuss. First, we will update you on the next phase of our strategy. In addition, we will highlight how capital will be allocated going forward and how that results in further growth and diversification of our business. We will discuss how we leverage our operational excellence. And lastly, we will update you on the targets for the next few years. Now I will hand over to Tanate, who will take you through the results in the first quarter in more detail, starting on Slide 8. 
Tanate Phutrakul: Thank you. As Steven mentioned in his introduction, net interest income was strong again this quarter. Lending NII increased for the fourth consecutive quarter, driven by increased volumes at a higher interest margin. Liability NII continued to be resilient with a margin above our historical average. We did not increase our core rate this quarter. We reinvested part of our replicating portfolio at higher rates and benefit from the positive impact of these actions. The overall net interest margin, which was taking in development in the total balance sheet into account decreased by 3 basis points. This is fully driven by lower net interest income for financial markets following an increase in accounting asymmetry. I'll give you more details on the next page. On this slide, there are 2 messages I want to get across. First, note that when excluding the increased impact of accounting asymmetry, our net interest income increased compared to the previous quarter. However, our net interest income continued to be impacted by accounting asymmetry, which lowers net interest income in group treasury and financial markets with, of course, an offset in other income. This quarter, this accounting symmetry increased, particularly in financial markets. The second point that I want to make is that we have clearly benefited from improvement in the curve since our Q4 results presentation. And this will also positively impact the development of our NII in 2024. The normalization of our liability margin is likely to happen more gradually compared to the scenario we gave in February, while there's no reason to change the assumptions from lending growth and other NII. As a result, we now expect to end up at the high end of the range given in February. On the next slide, we see the resilience of our net interest income also in a decreasing rate environment. Slide 10 illustrates our ability to maintain a strong liability NII also in a lower rate environment. The graph on the left shows the improved forward curve as per the end of March compared to the end of December, with rates moderating -- the long-term rates moderating around 220 basis points. These continued positive rates benefit our gross replicating income as you can see in the graph in the middle of the slide. Then when you assume a scenario in which the pass-through gradually increases over time to 50%, the liability NII for our retail Eurozone deposits, net of deposit costs remain at a strong level. The pass-through on total retail Eurozone deposits was around 30% in Q1 2024. Under this scenario, the liability margin is expected to stabilize at a level of around 100 to 110 basis points. Now moving to Slide 11. This shows the development of our core lending and deposits. In Retail Banking, mortgages continued to increase, with growth mainly visible in the Netherlands and in Germany. In Wholesale Banking, we were also able to capture growth opportunities while we continue to focus on capital efficiency. On the liabilities, we saw core deposit increase by EUR 13.5 billion in the first quarter. It was mainly due to another successful promotional campaign in Germany, but we also see growth in Poland as well as in Italy. Wholesale Banking also recorded a small inflow, mostly driven by financial markets and Bank Mendes Gans, where we offer cash pooling for our clients. Now turning our page to Page 12. You can see that our focus on fees is clearly paying off as income has grown by double digit versus both comparable quarters. Roughly half of this growth was driven by growth in the number of customers, our own pricing actions. The new commission structure in Belgium is also resulting in lower fees paid to independent agents. On top of this, we saw the market dynamics has also improved leading to positive impact on fees from investment products as our customers start to trade more and asset under management increase. At the same time, in the wholesale bank, our global capital markets team has so had a very successful start for the year. With that in mind, we remain confident in our ability to grow fees by 5% to 10% this year. On Page 13, we continue to be disciplined on cost, excluding regulatory costs, incidental items, operating expenses were up 5% year-on-year, which is in line with what we said during our fourth quarter earnings call. The increase was mainly the impact of inflation on staff expenses, reflecting indexation and CLA increases across most of our markets. We also had to pay higher value-added tax following the implementation of the Danske Bank ruling in the Netherlands. Regulatory costs are also seasonally high in the first quarter, but were significantly lower than last year because no contribution is required to the Eurozone single resolution fund this year. The additional bank taxes in the Netherlands will be paid in the fourth quarter as per normal. As Steven said at the beginning of the presentation, the total expenses, including regulatory costs and incidental items decrease versus both comparable quarters. Now on to risk costs on the next slide, Slide 14. Total risk costs were EUR 258 million this quarter or 16 basis points of average customer lending, well below our through-the-cycle average and demonstrating the quality of our loan book. In Wholesale Banking, risk cost including additions for our number of individual files in unrelated industries that were newly provisioned in Stage 3. This was, however, offset by releases in Stage 1 and 2. In Retail Banking, risk costs were predominantly driven by business banking and consumer loans, while mortgages, our largest book continue to perform well. Looking at the different stages, addition to Stage 3 provisions were EUR 368 million, but in Stage 3 ratio remained stable at 1.5%. Risk costs for Stage 1 and 2 were a negative EUR 110 million, reflecting an update of better macroeconomic forecast and releases of management overlay. We still have a stock of overlays amounting to EUR 533 million. All in all, another benign quarter in risk cost and we remain confident in the quality of our loan book. Now Slide 15 shows the development of our capital ratios, which increased further to a very strong 14.8%. Core Tier 1 capital increased by more than EUR 1 billion, driven by inclusion of the net profit for the quarter after reserving for dividend. Risk-weighted assets increased by EUR 3.9 billion, including EUR 1 billion of FX impact. Credit risk-weighted assets increased by EUR 3 billion, mostly driven by an increase in exposure and some model changes. These factors were partly offset by a change in the overall profile of the loan book. Both operational and market risk weight was stable. Share buyback announced today will have an impact of approximately 77% basis points on the core Tier 1 which will be visible in the Q2 numbers. We will again update the market on our capital plans with the disclosure of our Q3 results in early November. Then on Slide 16. As Steven and I has explained today, ING had an excellent start to the year with good commercial and financial performance as we have executed on our strategy. Total income grew with strong NII, double-digit fee growth. The development of operating costs were in line with our outlook we gave, while regulatory costs decreased significantly compared to last year. Our 4 quarter rolling ROE remains very attractive at almost 15%, while our core Tier 1 ratio further strengthened to 14.8%. This has allowed us to announce another sizable share buyback program, which has started today. We will update the market again at the time of announcing our third quarter results. The strong first quarter performance gives us further confidence that we will reach above 12% return on equity target. In general, looking ahead, we are confident that we will continue to deliver robust financial results while successfully executing our strategy. We will take a long-term view at our Capital Markets Day taking place in June. We look forward to discussing this with you then. Now on to the Q&A, operator. 
Operator: [Operator Instructions] We'll now take our first question from Tarik El Mejjad with Bank of America. 
Tarik El Mejjad: Well done on a good set of results. So the first question would be on capital and capital return. So you reiterated the 12.5% CET1 into '25. So how do you read the increased scrutiny on capital and resilience -- banking resilience in Europe with the chair of your own Ministry of Finance issuing a report with more cautious kind of outlook on capital build and the Swiss Federal Council reports and the capital stock? So are you still comfortable to run to 12.5% CET1 that doesn't include any management buffer? And also in terms of timing for that, I mean, once you announced 12.5% in '22, we didn't expect rates to go up so quickly and you've managed your RWA very well in the last 2 years. So would you probably need 2, 3 more years actually to reach 12.5%? And still on capital, I mean, the M&A activity in Europe has picked up as we've seen with the latest deals. I mean, how do you see your business model? Is this business model that you think can participate in that, especially that you are -- you have plenty of capital? And I know I ask this question every call, but would that be almost necessary for you to fix your unbalanced fees, NII mix that could put pressure in a normalized rate environment? And last question is on NII. I mean, I'm sure there will be many, many questions after mine. But just to get the trajectory, I mean, your Slide 10 is very helpful for the liability margin. Should we read that if we exclude the volume growth, '24, you should see NII pressure from liability margin until, let's say, first half next year and then the volume growth will be there supporting kind of a flattish level and will be more having a recovery towards '27? 
Steven van Rijswijk: Thank you very much, Tarik. The answer on the third question is yes, but Tanate will elaborate. Tanate will also talk about capital. I'll talk about M&A and fees. Look, clearly, we see that we have -- we see continued good growth in our customers, but also in our fee income. So autonomously, we are doing very well and we can also continue to grow very well. As I've also said, in local markets in retail, skill is key because you can make more impacts. You can do that with better operational jaws and better operational leverage. You can offer better propositions just given the sheer size you have in that market. And so therefore, it's important that in every market in retail where we're active, that we are a sizable. Now in that sense, in case there would be opportunities to increase that size while fitting to our culture and our digital operations, we would look at it. And that would be to increase size. And two, we would look at certain skill sets, either digitally or fee-related, whereby I would say we can diversify quicker than we could do that on autonomous basis. So the first strategy is continue to be autonomously if there is in-market consolidation or skill consolidation, then we will look at it. 
Tanate Phutrakul: All right, Tarik, in answering your question, clearly, we are comfortable operating at around 12.5% core Tier 1 level. And I think what drives that confidence is the fact that we have a diversified business model. We have a gradual transition to a much more capital-light revenue model and the fact that we have, through the cycle been able to manage our risk management in terms of risk cost, credit risk, market risk, operational risk well. So I think that gives us comfort that we can operate at the buffer levels envisaged that you see now, okay? The second point to make on the comfort that we take is that clearly, every share buyback that we do would mean a consultation and application from the ECB to actually do the share buyback. And that has been granted. That's why we're starting the share buyback today. Now to your second question around NII on liabilities, yes, we do expect in our simulation that rates will remain stable where they are now until the end of June and then gradually transition to a lower level somewhere during the course of 2025. So if these simulations come through, indeed, you will see a dip during the course of the second half of '24, stabilization in '25 and indeed, with volume growth, see accretion in terms of NII on liability going forward with the assumptions we've given around tracking speed of deposit costs. 
Operator: We'll now take our next question from Giulia Miotto of Morgan Stanley. 
Giulia Miotto: I want to ask another question on this slide, please. The 50% assumption in terms of pass-through on the savings rate, is that realistic? Or is it a bit conservative? Because it means that essentially, you're not cutting savings rates as rates go down. So I would like your -- yes, [Technical Difficulty] on that one. And then secondly, I know that Russia by now is small for ING, but we have seen a pickup of attention from Europe in terms of reducing, getting out from that country. Any comments there, please? 
Steven van Rijswijk: Yes, I'll do the question on Russia and Tanate will talk about the pass-through assumptions. Well, on Russia, like we said at the beginning of the war that we did not see a future for ourselves in Russia, so then we have been building down our loan book. It was about EUR 6.7 billion at the time, it is now about EUR 1.3 billion. So we decreased this with over 75% and we will continue to do so. In that setting, also EUR 600 million is covered by ECA, European credit agencies, or insurance. So we, in the meantime, took ample provisions and capital. So we're well covered for that book. And yes, of course, we see the attention, but there is not a particular attention to us. We are just continuing on our decrease and path what we have chosen already 2 years ago. 
Tanate Phutrakul: Giulia, to answer your question, clearly, deposit tracking is one of the, I would say, 2 major or 3 major assumptions that we make in this scenario, the forward curve being one, deposit growth being the second and the tracking being the third. Now the tracking, I think what I can say is the following: the tracking up until Q1 was around 30%, right? Take that as an anchor point. We have done indeed a simulation for 50%. I think there's an element of prudence in there. But at the same time, we are also giving you a sensitivity that every 10 basis points is around EUR 400 million. So I think we've given all the major driving parts and then you can take a judgment on that as well. 
Operator: And we'll now take our next question from Sam Moran-Smyth of Barclays. 
Samuel Moran-Smyth: So one question on NII and one question on fees, please. So I appreciate there's going to be a lot of questions about liabilities. But on the asset side, the lending margin grew again Q-on-Q. Could you please talk about which geographies and products are driving that? And is it something that you expect to gradually tick up going forward? I appreciate you've given a lot of color on liability margins and your expectations there. So anything you can give on lending would be great. And then on fees, I'm just trying to understand if we should be expecting fees to kind of grow Q-on-Q from here because when I look at the mix, daily banking fees up Q-on-Q and next quarter, we'll have a full quarter of the package increases in the Netherlands. And then on lending and investment products, you might expect those to grow as we approach lower rates. So is that the right way to think about it? Or am I missing something, I can see on insurance and financial market fees that they look at the inflated parts this quarter? So just wondering how we should extrapolate that? 
Steven van Rijswijk: Okay. Thank you. On the lending margin, yes, the largest impact of that increase was in mortgages also because there is a -- most of our mortgages are funded a bit earlier. So with a decrease in the funding rate, there you see that an increase in the margin coming in. So that was the reason for the increase in lending margin. When we come to fees, yes, look, in the end, what we want to do is to increase the all 5, if you will. So which is, first of all, a growth in customers. Indeed, payment packages, indeed, increases this quarter will also filter through then for the full quarter in the second quarter. What we told you on the brokers in Belgium will continue. And of course, it is that continued also growth in the number of investment accounts that we have because once people have investment accounts with us, when the market is changing, which it has now done again, then we are going back to trade situation that we did see in the past. And of course, the past couple of years, it was a bit benign, which also, therefore, caused the fees to be flatlining, if you will. So with that, the fact that we can grow our customers, the fact that there is a feed-through of the increase in the payment packages for the next quarter, the fact that the contract with the independent brokers in Belgium are there. And on top of it, therefore with that increase in primary customers, the increase in the activities in investment products in insurance and maybe more cyclical in Wholesale Banking makes us very confident to reach that 5% to 10% in 2024. 
Operator: And we will now take our next question from Benoit Petrarque with Kepler Cheuvreux. 
Benoit Petrarque: It's Benoit Petrarque. Yes, sorry to come back on the landing margin because obviously, you guide for a drop of your liability margin to the 100, 110 bps range. In your current interest rate scenario basically going to you report, I think, 2.3% by '27. How much lending margin improvement will you expect in that scenario? That would be extremely useful to get a bit of details on that. And was also number two was on the replicating portfolio and the usual questions around the duration of plus 2.4 years last time. And just wondering if that moved up a bit as -- yes, obviously, you probably manage a bit deterioration. And then just the last question, we saw an interview from the CEO of Germany a few weeks ago talking about growing the SME business in Germany. And I'm just wondering how much potential growth you see there and whether that could be meaningful. 
Steven van Rijswijk: I'll take the question on our CEO in Germany. And Tanate takes the other questions. Yes, look, I mean, there is a lot of growth opportunity in Germany. We have just started, I would say, digital SME offering. As in the past, when we came to Germany to say we only will do diesel banking for private individuals, people said, well, that will not work in Germany. And that's just not how the German culture and German contract works, you have to have branches, et cetera. And well, now we are 20 years further and then 9 million clients further. And moreover, also corona in that sense also really gave an additional impetus for people to do digital and even mobile banking, so only use their mobile. And they begin digital in Germany was largely desktop and then greatly became mobile. Now since the last 2 years, we have said, okay, we can also do this for, let's say, smaller SMEs, with self-employed smaller SMEs, small businesses, also built a fully digital offering for them as well. Most people don't necessarily want to spend a lot of time on banking. They want it to be easy, instant, safe, personal. And that's how we are offering that as well. It doesn't exist in Germany. We have launched it. It's currently small. In the end, we also want to test it also with the risk costs that come in. So you provide a savings account, a current account, a loan and then you calibrate your model and greatly we grow our business, but we have very positive views on how we greatly diversified our business. And moreover, with the learnings that we have in Germany, we then also intend to roll it out in other markets as well. 
Tanate Phutrakul: Ben, some reflection on lending margins. I think we have seen the beginning of a quantitative tightening cycle. We have seen the fact that the TLTRO funding EUR 3.5 trillion is being taken out by the ECB. So that points to a thesis from us that lending margin should improve. But what I think is also important in terms of our lending NII is the fact that as rates move from 4 to 20 that they should stimulate more lending growth and that's what we see signs of already. So that's with respect to NII lending. So I do see potential upside from where we are today. Then to answer your second question, we did indeed give guidance on the weighted average duration of liability of 2.4 years and that remains roughly the same in Q1. 
Operator: And we'll now take our next question from Benjamin Goy of Deutsche Bank. 
Benjamin Goy: Two questions, please. The first on costs. And you mentioned that in Q1, your expense growth is a bit below your target for full year. Just wondering why this should increase throughout the year? Or is it just a full year guidance, a conservative element considering inflation that came down in most of your markets already? And the second is with the accounting asymmetry, it's a bit more difficult to judge the developments across the country. Maybe can you comment on the moves in some of your key geographies, whether it was Netherlands, also Germany, the challenger markets Q-on-Q net interest income, what was underlying, what was accounting asymmetry driven to quarter-on-quarter move? 
Steven van Rijswijk: So on the cost, I'll take it. So basically, what we have factored in, in, let's say, the outlook of our costs that we gave last quarter is also and the spillover of the CLA that -- the CLA increase that came from the past year into this year, but also the new CLA amendments that we will need to make in the second and third quarter. That's what gives you that guidance. 
Tanate Phutrakul: And then on accounting symmetry, most of the accounting symmetry happens in financial market, which is a global business. So that is not linked to any particular country. And with respect to GT, it's the same. It's the global results, which are predominantly based in Amsterdam. So it's in our Dutch location. But we'll give you a bit more clarity in terms of what these asymmetries are on Page 22 of our results presentation as well. So you can see where the movements are. 
Operator: And we'll now take our next question from Farquhar Murray of Autonomous. 
Farquhar Murray: Just 2 questions, if I may. Firstly, the new liability margin guidance of 100 to 110 is obviously slightly higher. I just wondered if in very broad terms, you can maybe split how that between, say, the curve movement and the tracking speed assumptions, I feel like there's a little bit of both in there somewhere. And then in terms of -- actually, is there any particular geographies driving that, particularly with respect to the tracking speed assumption? It feels like maybe you've got to be more confident about tracking in certain places. And then secondly, the EUR 2.5 billion is another step in the right direction on the share buyback. But finally, looking at the CET1 ratio of 12.5%, it would by full year '25 find you towards probably the lower end versus peer group. So can I ask, is that an outcome that ING would be comfortable with kind of therefore look at the 12.5% as fully independent of relative peer positioning? 
Steven van Rijswijk: Okay. I'll take the second question and Tanate will take the first question on even further splitting up Page 10, I guess. And the answer on the second question is yes. So yes, we are comfortable with our CET1 target of around 12.5%, which we have said all along. And we are a bank that operates in a relatively low-risk environment with low risk cost with low NPL ratios with either largely collateralized loans in the form of mortgages or senior or super senior loans also in Wholesale Banking. So yes, in that sense, we are comfortable with our 12.5% and we're comfortable with our buffer. 
Tanate Phutrakul: And to try to give you a bit more detail, I think it's a combination of tracking and of the curve. I think maybe 3 things to answer your question, Farquhar, is that we believe that we are reaching a point of stabilization in terms of our current account levels, right, which drives a lot of the margin improvement. And we see that as being structurally more stable given the higher number of primary customers. That would be one. The second one is that we also see that in the picture we gave on Page 10 that the total liability margin also includes liability margin in non-Eurozone countries and it also includes Wholesale Banking margin. And we see that the liability margin in our non-Eurozone is actually holding up quite well. And it's the same for liability margin in the wholesale bank. That gives us the comfort to give you this outlook of between 100 and 110. 
Operator: And we'll take our next question from Kiri from HSBC. 
Kirishanthan Vijayarajah: A couple of questions from my side. So you've given us refreshed guidance on the Basel IV for the day 1 impact. I wonder if there's anything new you can say or updated -- you can update us on the impact of the phasing from the output floor. I appreciate lots of moving parts, but just some color there would be helpful. And then secondly, just a more bigger picture question on the fees and investment products because we think particularly in Continental Europe that ETFs are getting more and more popular, particularly with your -- the younger customers that your target demographic. So how should we think about that? Is there some kind of structural margin pressure to think about on a kind of medium-term view? Or is it more of a benefit for the likes of ING because you don't really have kind of legacy product factories that do traditional asset management products? So how does that play out for you guys? 
Steven van Rijswijk: I'll take the -- thank you. Thanks, Kiri. I'll take the second question and Ljiljana will take the first question. On the fees, I mean, on the investment product fees, clearly, we don't have these production engines and we are -- we distribute. So we buy these ETFs or these funds and we distribute them in the markets. And we come out of an environment whereby we were in a number of these banks were quite -- countries were quite narrow as a bank, some banks, people call a sort of a neobank of [indiscernible] in retail where we are very big in a number of clients, but our activity is still small. And a couple of years ago, we started to diversify that. And one of those diversification levers was investment products. Now we start -- we have started with that. So our total assets under management now is approximately EUR 220 billion. Please note, the largest part of that is still brokerage. So we provide very simple, very easy, very instant digital products, which we distribute, not produce. We do that now in a number of markets, but the number of clients that do this with us is still significantly lower than our primary customer. So we first have to make sure that we have our customers use these apps for these products because we're relatively new in that game. Secondly, because it's largely brokerage or self-execution, if you will, we can still grow quite dramatically and move ourselves up the curve into a simple advice or personal advice, which in a number of markets we currently don't do or hardly do. So we are still moving ourselves up and we have not this benefit from, let's say, margin pressure on the ETF side. 
Ljiljana Cortan: On the Basel IV day 1 impact as you've seen, there are no actually updates. What we are doing every quarter, as you noticed as well in our RWA moves, we are periodically updating our models and having some results for collaborations that can cater for the RWA is going up or down, as you have seen throughout the quarters. That's why our, I would say, view on Basel IV day 1 impact remains around 20 bps and it's driven by various drivers is predominantly with operational RWA. When it comes to the output floor as well, I would say no update at this point of time. There are still some topics in the industry. As you know, that we are discussing and depends also on the national regulators and how are they going to tackle certain areas. We're going to update you in due time. But so far, as I said, around 20 bps remains our guidance. 
Operator: We'll now take our next question from Guillaume of BNP Paribas Exane. 
Guillaume Tiberghien: Two please. Number one is on the lending margin again. I think historically, you guided that the lending margin was around 150 basis points. So do you think you can revert back to it, but I guess not within 2 or 3 years, maybe longer term, but do you think 150 is still a reasonable long-term lending margin? And the second one relates to the revenue to RWA ratio in the wholesale division. You've done a good improvement in the last couple of years, both from the revenue side and from the denominator side. Do you think there's more to do on the denominator side? I know your RWA density looks low, but that's due to mandates gone to some extent. But do you think you can improve your density further? 
Steven van Rijswijk: Yes. Thanks very much. On the lending margin, no, in the past, we guided 450 basis points total margin, so not necessarily lending margins. So that was the total of it, so not all lending. On the revenue over RWA, look, I mean -- and I think we said it also in the past quarters, we come out of an environment as ING, we always have been a strong credit bank. And so we underwrite and then we hold, so our activities in secondary loan trading, packaging it, selling it, trading it have been very limited. And what we have been doing over the past 1 to 1.5 years, it gradually built up that muscle in becoming better at when appropriate, also making sure that we use the capital more efficiently because arguably Wholesale Banking uses half of the capital of the bank and we want to increase return on equity in Wholesale Banking. So we're training that muscle and step by step, we are becoming better. So we will continue that is one of the key focus areas in Wholesale Banking to become better at it and increase that muscle. 
Operator: And we'll now take our next question from Johan Ekblom of UBS. 
Johan Ekblom: Just maybe to come back where we started on M&A in the sector. And just if you could maybe outline how you put further share buybacks versus M&A. I mean, how important this near-term EPS accretion, et cetera, in terms of the criteria that you put up for potential M&A? And then just to come back on the fee income, I think you've flagged many times how successful the investment product build-out has been in Germany. You said that there are potential in other markets. Can you give us a bit more color as to where we are in terms of the investment product piece? How much comes from Germany today? What countries are the most underpenetrated in that sense in terms of giving us some confidence on the sustainability of the fee income growth? 
Steven van Rijswijk: Okay. Thank you. When talking about M&A, yes, in the end, we will look at what does that do for value. And EPS is a measure to value. But in the end, it needs to be beneficial for the value of the company in terms of ROE and profitability. That's how we will look at it. And therefore, we also find important that when would look at an acquisition that it has tangible benefits in terms of costs and potentially revenues, especially diversification of fees that we are clear in how we would integrate this acquisition that would not take us too long. And that's why we have said, we would unlikely focus on a company that is very much brick-and-mortar because then we're very much focused on very long integrations and then we go very inward-focused and we have ample time -- ample ability to grow and focus externally also autonomously. So that's why we're careful. So -- but when we look at it, it means cultural-fit, quick integration, also clear digital angle in markets or, let's say, fee skills because we want to focus on the growth that we currently have rather than being very inward-focused. And in the end, it needs to help our profitability and ROE. When we look at fees, yes, that is successful in Germany, but the growth that comes from fees also in these accounts comes from various countries, it's not only Germany. But other countries like Belgium continue to grow. If you look at the Netherlands, we're actually quite underpenetrated. In Spain, we're growing our customer base very nicely. In Australia we want to broaden our service offering there. We have still a narrow offer. So in most of these markets, like in Germany, we are not a true broad-based universal retail bank. We're quite a narrow digital bank and we're now gradually building this out in all the markets, not only in Germany. 
Operator: And we will now take our next question from Anke Reingen of RBC. 
Anke Reingen: The first is on the pass-through rates. I'm just trying to understand how conservative this is in your assumptions of going to higher levels? Are you assuming you are sort of like a price leader driving your strategy forward? Or is this largely driven by market trends? And then secondly, on capital distribution, you're thinking about buybacks versus dividends. Would that have changed given your shares are now closer to book value and also probably considering that over a longer period of time, the 12.5% could be reached? So is there any thinking about considering changing the mix? 
Steven van Rijswijk: Thank you, Anke. I will do the question on pass-through and Tanate will talk about the form of capital distribution. Our pass-through rates are dependent on our balance sheet and client strategy. So in some markets where we're more an incumbent and we don't grow that much in the market doesn't grow so much that we can -- and where lending doesn't grow so much, we will more likely be a follower if in a market, we can use certain actions like -- yes, again, I don't want to mention Germany all the time, but let me do that one more time, where we -- and we did another additional marketing action earlier this year where in countries where marketing actions are popular, where that also leads to more customers, where there is still a big shift or a very dispersed banking landscape, okay, let's take Germany, then it will be likely that we will use some marketing actions to increase the number of customers, but we also did these promotional campaigns in Poland and Italy. And also there, we were very successful. So typically thinking about growth markets and challenging markets, which is the term that we typically use in [ C&G ] markets, there you typically see that we use promotions to increase the number of customers. And typically, these campaigns are successful because if you look at the last campaign in Germany, 2/3 of the money then stuck -- was sticky with ING, which then also helps to grow the primary customer. So it's a market-by-market strategy. 
Tanate Phutrakul: Anke, just on our thinking in terms of how we distribute capital to our shareholders, probably driven by 3 things. The first one and the most important is our internal management view about the intrinsic value of ING, right? And that relates to book value or getting close to and potentially above book value. The second one that we look at is also the potential introduction of a share buyback tax in the Netherlands. That's still uncertain, but we take that into consideration. And the third is really making sure that we balance the interest of our stakeholders, particularly looking at the total return to shareholders as a guide for us. So these are the 3 drivers in our consideration. 
Operator: [Operator Instructions] We'll now move on to our next question from Hugh Moorhead of Berenberg. 
Hugh Moorhead: Two from me, please, one on deposit mix and one on capital. On deposit mix, thank you for the color about the proportion of current accounts stabilizing, but do you expect much more of a shift in term deposits perhaps between savings and term? And do the conservative assumptions in your tracking speeds include conservative assumptions around future mix shift? And then on capital outside of the Basel IV impact guidance, are there any sort of chunky model approvals pending with regulators? Or should we just expect that might lead to a sort of sizable RWA movements in future quarters? Or should we just expect small movements Q-on-Q a bit like we've seen in Q1? 
Steven van Rijswijk: Okay. I'll give the question on the deposit mix to Tanate and then capital goes to Ljiljana. 
Tanate Phutrakul: Yes. We have seen this phenomenon of reducing amount of current account going to savings and term deposits. I think given what we see in Q1, the level of competition in terms of rates on term deposits has subsided and that the rates are reflecting the yield curve that's coming up in terms of potential reductions. So we don't see at this time a further change in the deposit mix that we have at the moment. 
Ljiljana Cortan: And then on the capital and RWA, correct for around 20 bps when it comes to Basel IV day 1. And you've seen as well throughout the past quarters, but we can anticipate as well for the next quarters, we do have some volatility around amounts that are going up and down when it comes to the rating models. It is clearly subject to the approvals of the models by the ECB, but as well about performance of the models and calibration based on what we see historically and around us. So I would say no specific changes in this guidance. We will continue updating our models quarterly, but we do not expect higher volatility than what we've seen historically. 
Operator: And we will now take our next question from Mike Harrison of Redburn Atlantic. 
Michael Harrison: Thanks for clarifying the duration of the replicating portfolio. I just wanted to ask a sort of more general question about how we should think about the duration and the mix situations within the replicating portfolio evolving as and when the yield curve is invert, which the forward Markets Day happens next year? 
Steven van Rijswijk: Tanate? 
Tanate Phutrakul: I think what we look at in terms of looking at duration, it's about managing our balance sheet and managing our interest rate risk, right? And if you look at the tracking speed in the past, the level of tracking has been below expectation. But I think at the end of the day, we will see continued shift between below 1 year and above 1 year as 2 distinct buckets, right? And that we continue to see accretion of income from the level of replication for the bucket that is more than 1 year. And then the bucket below 1 year will subside over time is like 2 pendulums on the opposite side. But as we've given the simulation, we think over a transition to 222 basis points overall, the replication income will be accretive. 
Operator: There are no further questions in queue. I will now hand it back to Steven van Rijswijk for closing remarks. Thank you. 
Steven van Rijswijk: Yes. Thank you very much for your time and your questions. I'm sure that you will know to find -- how to find our Investor Relations team. And I hope to see all of you during Capital Markets Day on the 17th of June in wonderful London. Have a great day. 
Operator: Thank you. Ladies and gentlemen, this concludes today's call. Thank you for your participation. You may now disconnect.